Operator: Good afternoon, and thank you for standing by. Welcome to the Maxar Technologies First Quarter 2022 Earnings Call. [Operator Instructions]. During today's call, there will be a question-and-answer session and instructions will be provided at that time. I will now turn the conference over to Mr. Jason Gursky, Vice President of Investor Relations and Corporate Treasurer. Please go ahead.
Jason Gursky: Good afternoon, and thanks, operator. Welcome to Maxar's First Quarter 2022 Earnings Conference Call. I'm joined today by the company's Chief Executive Officer, Dan Jablonsky; and its Chief Financial Officer, Biggs Porter. Both will make some opening remarks, after which, we're going to open up the line for your questions. We're shooting to wrap up the call in about an hour. Before we get started, I'd like to refer listeners to the accompanying slides for today's presentation, which can be found on the company's website at maxar.com. Once there, please turn to Slide 2, where I'd like to remind you that part of today's discussion, including responses to various questions, may contain forward-looking statements, which represent the company's estimates, future plans, objectives and expected performance at today's date. These statements are based on current assumptions that the company believes are reasonable, but are subject to a wide range of uncertainties and risks that could lead actual results to differ materially from the forward-looking information. You are referred to the advisory regarding forward-looking statements contained in our quarterly earnings releases, earnings call slide decks and the company's most recent MD&A section found in our Form 10-Q on the company's website at maxar.com. And with that, I'll hand the discussion over to Dan. Dan, go ahead.
Daniel Jablonsky: Thanks, Jason, and good afternoon, everyone. Today, I'm going to review the key highlights of our performance in the quarter and provide an update on the Legion build. I'll then review our key priorities for the year and wrap up with a discussion of our growth strategy. Biggs will then take over with a more detailed review of results and update on guidance. Please turn to Slide 3 for the key highlights of the quarter. We posted both revenue growth and adjusted EBITDA margin expansion driven by the Space Infrastructure segment. Financial results at Earth Intelligence came in a bit below our expectations as we experienced some push-outs in Q1 that we expect to close and execute on that in the second quarter and the rest of the year. It is Biggs will go into momentarily. Stock-based compensation was higher than expected given the performance of our shares during the quarter. Additionally, we shifted resources to support the war in Ukraine, and you've certainly seen the prevalence of Maxar imagery over the past couple of months, on media broadcast and in publications. This shift has been the right thing to do, and it aligns closely with our values. We believe the world not only better understands what is going on in that region because of our efforts, but it also better appreciates the value of the geospatial data we provide to our customers each and every day. My thanks to our teams who have been working 24/7. This not only puts us on the right side of history, but it also positions our industry and Maxar specifically for an increased role in better serving customer missions in the future. On cash flows, we continue to see improvement with trailing 12-month free cash flow of $67 million, which compares favorably to the $15 million we consumed on the same basis a year ago. As you know, we are focused on driving cash flow growth as we look to reduce debt and leverage. Book-to-bill metrics were roughly in line with expectations this quarter. On a trailing 12-month basis, the Earth Intelligence business is running at roughly 1x, and we announced that we received 27 awards during the quarter across 9 U.S. government customers, 8 of which are Department of Defense or intelligence community organizations for up to $202 million of work on artificial intelligence and machine learning applications, advanced data analytics, software development, data conditioning, geospatial production and dissemination, maritime domain awareness and training and development. As a reminder, we have seen a move toward book-to-ship revenue in this segment over the past couple of years, driven in part by customer adoption of our products, including 3D. We believe this trend, combined with the pipeline we see supports the 6% to 13% growth we are projecting for the year. Importantly, demand pulses have picked up significantly across both enterprise and government customers. This has been reflected in part in light of the demonstrated value we're providing related to the Ukraine conflict, but also with regards to adoption of our 3D technologies and solutions. Both aspects further bolster our confidence in our 2022 outlook. In Space Infrastructure, book-to-bill continues to be impacted by the large number of GEO Comsat awards received in 2020 related to the C-band transition. This is creating difficult comps. As a reminder, orders tend to be a bit variable, and it's hard to predict the precise timing of when awards will be made. We expect to end the year with a book-to-bill greater than 1 in this segment, as we have a solid set of opportunities in front of us with a diverse customer base. For example, we are seeing solid demand signals from commercial customers or GEO Comsats and LEO spacecraft. And from government customers for spacecraft utilizing our 1,300-class bus and modular architectures for both GEO and LEO Solutions. Also on the government side, we're pursuing opportunities where we can act as a subcontractor and also see opportunities where we can prime. Both avenues are creating some interesting partnership opportunities for us. Moving on to Blackshark. I am pleased to announce that we made a data for equity investment in this company and that we will receive a meaningful royalty for any sales Blackshark makes on products derived from our data. This is exactly in line with the types of deals that I've mentioned we're pursuing, and it follows the Q1 Aurora Insight investment announced earlier in the year. Blackshark's platform provides another alternative technology for processing satellite imagery data and pairs particularly well with our plus Vivid base maps, detecting and segmenting objects, roads, vegetation and other infrastructure. This information is used to rapidly create a visually appealing 3D digital model that is geotypical and complementary to Maxar's 3 precision 3D products. Partnering with Blackshark will allow us to move faster in areas such as gaming and flight simulation where customers may not need the global accuracy of Maxar's full precision 3D suite, while opening up new revenue streams from Blackshark. I'm excited about this new relationship and the ability for Maxar to use its data as a currency in placing strategic investments. Moving on to guidance. Biggs will provide more details on the full year in a few minutes, but quick take is that we are not making any substantive changes to our outlook. Please turn to Slide 4 to cover a key milestone that was achieved during the quarter by NASA JPL on the Psyche mission. As a reminder, Psyche is expected to launch later this year to explore an asteroid orbiting between Mars and Jupiter, which is likely made largely of metal and maybe core material from an early plan. The spacecraft will travel more than 1 billion miles and arrive at the asteroid in 2026, where it will spend 21 months orbiting the 140-mile line asteroid, mapping it and studying its properties. The SEP Chassis built from Psyche is Maxar's lightest and smallest graphite 1300-class spacecraft platform, roughly the size of a small car. It is combined with a medium-sized solar array and a high gain antenna and Maxar's latest solar electric propulsion system. The spacecraft has been specifically designed to function in a low-power environment because of the Psyche asteroids distance from the sun. In addition to Psyche, Maxar is also leveraging both its 1,300-class platform and SEP technology for the NASA Gateway Power and Propulsion Element under the Artemis Program, where we recently completed the first phase of end-to-end testing of its unique 12-kilowatt propulsion system. And the 1,300-class platform has also been selected for NASA's Goddard Space Flight Center OSAM-1 mission and will host NASA's Tropospheric Emissions: Monitoring of Pollution or TEMPO instrument. It was good to see the Psyche spacecraft on its way down to the launch site in Florida, putting it one step closer to achieving its mission goals. I'd like to congratulate NASA and JPL on this key milestone and the Maxar team members that helped make a reality. Please turn to Slide 5 for a discussion of the Legion program. The headline is that we are delaying the first launch for September as we work through a test configuration anomaly that occurred during an environmental testing procedure on the second fully integrated satellite in our Palo Alto facility. Remediation is underway. We also continue our work on the remaining satellites in the program and in particular, the third satellite. We expect both the second and third satellites to align with the updated timing of the first launch. That should give us some flexibility as we're now likely to have 3 spacecraft ready to support the first launch of 2 satellites. I'm disappointed that we've had another delay. As you know, we've been hit with supply chain and COVID-related issues over the past couple of years, which negatively impacted our time line. And the war in Ukraine has limited the use of Antonov aircraft that typically fly spacecraft to launch sites. This has put further pressure on the overall schedule as we're more likely than not going to need to use ground transportation to get the satellites down to the cape from Palo Alto. This is a first-of-a-kind program and issues can arise as we go through our exhaustive testing protocols to assure mission success for a set of satellites designed to last at least a decade. We remain confident in the long-term success of the program. As Biggs will address later, we do not expect the delay to impact 2022 guidance. We know how important this program is to Maxar, our customers and to our investors. Once on orbit and in use with our existing constellation assets, the Legion satellites will increase our capacity and revisit rates, positioning us well to take advantage of the robust demand we see in front of us. I look forward to that, and we will provide further updates on our second quarter earnings call this summer. Let's now turn to Slide 6 for a quick review of our 2022 priorities. At the top of the list is getting Legion launched, which I just discussed. In addition to being focused on the launch of the first 6 satellites, we also announced on our last earnings call that we've begun long lead work on Legion 7 and 8. We're doing this to shorten the cycle time of the builds to either more quickly react to the strong demand signals we're seeing or be in a position to efficiently replace WorldView-3 when the time comes. Second up is the EOCL program, which we expect will replace the EnhancedView follow-on program. As a reminder, we've been a trusted partner of the U.S. government for over 20 years, delivering commercial capabilities with superior quality, cost, security and reliability. And as you've heard me discuss on prior earnings calls, we continue to hear from our government customers that there is solid demand for geospatial data, analytics, insights and solutions to support both intelligence and tactical missions. In fact, the environment is as robust as I have seen it during my time in the industry, particularly in the context of the Ukraine war. Our customers at the NRO, NGA, and military services seek to leverage the capabilities of the industrial base to better understand what's going on in every corner of the planet. Importantly, they're increasingly looking for answers to tough questions in technology solutions, not just data. We believe the investments we've been making in our constellation assets, secure ground infrastructure, data platforms, 3D capabilities, AI and analytical tools and technology to support relevant sensor to decision time lines position us well to deliver significant value to our customers. We're very proud to support the U.S. government mission and look forward to continuing to work with the NRO as they increasingly adopt commercial geospatial data sources through the EOCL program. Now as far as timing of the award is concerned, the best I can say right now is that it could be any day. We submitted our proposal late last year and expected an award in Q1 2022. Clearly, that is yet to happen, and I suspect that the war in Ukraine may have had something to do with that as the government has been focused on supporting operations in the region. In the meantime, we remain under contract with the EnhancedView follow-on program with a period of performance that stretches out into the third quarter of 2023 should the government continue to exercise the options available to it. As far as other key priorities are concerned, the Space Infrastructure segment executed well this quarter, generating solid margin performance, and the pipeline remains robust as we focus on capturing awards going forward. As far as financial flexibility is concerned, the big focus this year is to continue to grow cash flow and to manage through some upcoming maturities. Let's now turn to Slide 7. We last held an Investor Day in March 2020 just before the world shut down because of the pandemic, and we typically host such events every other year, which means we are due. We continue to evaluate the status of the pandemic and COVID protocols, and we're looking forward to hosting another event when appropriate. I certainly look forward to seeing all of you in person as soon as practically possible. That said, in the time [Technical Difficulty] last Investor Day, we tried to keep investors up-to-date on the key drivers of the business and on the strategy going forward. Slide 7 is one you've certainly seen before, but I thought it would be a good reminder. The key takeaway here is that we operate in large and growing verticals, where we have Established positions and where we're making investments across both segments to drive future growth. And Slide 8 provides hyper-links to the presentations we've made over the past 5 quarters to double-click on our positioning and strategy, including in the areas of joint all-domain command and control, sensor to decision technologies, AI and ML, geospatial products and solar electric propulsion. And of course, last quarter, we did a deep dive on some ESG-related topics. I'd encourage you to take a read through these decks in the accompanying transcripts to better understand our business and the industry in which we operate. It's an exciting time to be at Maxar, and I look forward to diving deeper into all of these topics on future earnings calls and importantly, in person at another Investor Day in the quarters ahead. I'd like to conclude my remarks today by reiterating that I'm very optimistic about Maxar's future. We are well established and well positioned in large and growing verticals. We're making solid investments that we expect to further our leadership positioning. We're focused on execution, including cash generation and debt reduction, and we're making an impact on the world through the products and services we offer. All of this positions us well for the future. And in the near term, we're seeing solid demand pulses across both the Earth Intelligence and Space Infrastructure segments, and we're focused on executing on both the EOCL award and the launches of the Legion satellites. I'm confident that all this together will result in revenue, profit and cash flow growth in the quarters and years ahead and with it, attractive shareholder returns. With that, I'm going to stop and hand the all over to Biggs for a discussion of our first quarter results and an update to our guidance for the year.
Biggs Porter: Thanks, Dan. Please turn to Slide 9, where we present year-over-year comparisons for the first quarter. Net loss for Q1 was $7 million, and net loss per share was $0.10. Revenue was up 3% year-over-year for the quarter and adjusted EBITDA margins expanded 360 basis points. Top line revenue growth was driven by Space Infrastructure on an easy year-over-year comparison given the non-recurring charge related to the SiriusXM-7 satellite that we recorded in the segment last year. Adjusted EBITDA margins expanded as a result of the same dynamic. Consolidated adjusted EBITDA was negatively impacted by $4 million year-over-year given the appreciation of our stock during the quarter, which pushed stock-based compensation higher relative to our expectations. Higher stock compensation has been driven off and on over the last 3 years as a result of mark-to-market treatment of our 2019 stock plan awards, which are now fully invested, so volatility should reduce from here. The quarter was also negatively impacted by push-outs in the Earth Intelligence segment that we expect to close out and execute on in the second quarter and the remainder of the year and by some mix shift between product and services relative to our expectations. We're not for these, we would have exceeded our effective guidance for the quarter. Although within our guidance from a year-over-year standpoint, expenses increased in the quarter compared to last year as a result of investments we're making to satisfy the Space Infrastructure business, diversifying the Space Infrastructure business and advance our product development on the Earth Intelligence side, including R&D, systems and product capabilities. We feel more positive than ever about the growth opportunity in both segments. Please turn to Slide 10. Earth Intelligence revenue was flat year-over-year in the quarter on a tough comparison as year-ago period benefited from sales that slipped for the fourth quarter of 2020. Conversely, the first quarter of this year was negatively impacted by some push-outs for work that we expect to largely complete in the second quarter. Adjusted EBITDA was also negatively impacted by mix and the higher stock-based compensation I mentioned earlier, with both impacting our expectations for the quarter at the time we issued guidance back in February. But again, we continue to expect sequential growth throughout the year. Please turn to Slide 11. Space Infrastructure revenue increased 14% year-over-year in the first quarter and adjusted EBITDA margins expanded significantly to 10.7%. Recall, the first quarter of 2021 included $28 million negative impact on revenue and adjusted EBITDA from the charge related to SiriusXM-7. Normalizing for this, revenue was down slightly as U.S. government and commercial programs and backlog continue to mature, including the wave of revenue created by the C-band awards. Adjusted EBITDA margins were positively impacted by an $11 million decrease in indirect program costs in part offset by increases in SG&A costs, including labor, stock-based compensation and research and development costs. The increases seen in R&D is -- are part of the $10 million increase we included for guidance this year, and this spend will continue to create some pressure on margins in the segment over the rest of the year. Please turn to Slide 12. The company generated $48 million in operating cash flow from continuing operations in the first quarter and invested $64 million in CapEx. Cash flows were negatively impacted by $36 million in unfavorable working capital changes, driven by timing of receipts and seasonal payments. Please turn to Slide 13. We had roughly $494 million liquidity at the end of the quarter. Now please turn to Slide 14 for an update on our 2022 guidance. There are some headwinds on our guidance, including on revenue, the delay in any upside on EOCL and the slight Legion delay and on cash from those items and the increase in leasing costs associated with the delay. However, those are within the range as we previously gave it, and there remain other opportunities, including some new ones to fully offset those pressures. So we are not adjusting guidance in any subsequent way at this point. Revenue guidance for Earth Intelligence remains unchanged from what we issued at year-end. We continue to maintain a wider range for Earth Intelligence as we await the outcome of the EOCL award. We've modified our guidance for Space Infrastructure and intersegment eliminations upwards by $35 million to account for the WorldView Legion EAC growth. $20 million of this EAC growth is driven by the delay, Dan spoke to earlier. But roughly $15 million comes from work on WorldView Legion-7 and 8 that we have pulled forward into the current year and assigned to Space infrastructure for execution. As a result, Space Infrastructure revenues are expected to be roughly $735 million with $100 million in intersegment eliminations. Since this is intercompany work, there is no change to the total revenue guidance presented last quarter. Turning to adjusted EBITDA. No change to the outlook range for Earth Intelligence. As a result of the WorldView Legion EAC growth, we've increased the expectations for Space Infrastructure adjusted EBITDA by $10 million, including work for the WorldView Legion-7 and 8 , but again, this is offset by an increase in intercompany eliminations. At Earth Intelligence, we continue to expect revenues and adjusted EBITDA to grow sequentially throughout the year. The growth will come from a variety of sources. Precision 3D, which was light in the first quarter but expected to be up 50% on a full year-over-year basis, increased government revenues, including from Ukraine, DAF customer upgrades, services growth in the first quarter and to a lesser extent Legion revenues. At Space Infrastructure, there will be some skewing towards the first half of the year, but this is not likely to affect the consolidated results materially. We've not changed our guidance expectations for operating cash flows or capital expenditures. As we stated during the prior call, the precise timing of the cash flows and capital expenditures can vary throughout the year.
Operator: [Operator Instructions]. Your first question comes from the line of Seth Seifman of JPMorgan.
Seth Seifman: So I guess, you guys probably expected this one. But I guess if you could go into a little bit more detail about the anomaly in the environmental testing kind of what leads you to that kind of 1-month delay as a result of that anomaly. And then can you talk again about the launch plan for the -- did you say at one point, 3 spacecraft for the first -- or I guess, what's the kind of the launch plan at this point in terms of which satellites go in which launch?
Daniel Jablonsky: Sure. So first off, on the anomaly that we had, we had an anomaly on the configuration of one of our tests. So it wasn't a design or a hardware, it was how the test was set up. And we've had to go back and figure out how to do that test differently, which we've substantively done. It's taken a little bit of time for that, but we're on a path to get it remediated in the time line that supports the September launch. And then again, as I mentioned, we're also figuring in some potential reserve by possibly having to do ground transportation with the unavailability right now of antennas. But we're exploring some options to get ourselves down there, but we're factoring the fact that we'd have to -- on a likely path to a ground-based transportation. In terms of our confidence level, we continue to retire risk every day. And that gives us -- each time we make it through one of these gating items gets us closer to that. But we still have more testing ahead of us. So it's not a riskless exercise from here on out. And as I've stated in the past, we do pride ourselves on our quality in the building of 10-year type assets that are going to support critical mission needs over the next decade plus. So unfortunate, but it happened, and we're largely dealing with it and keeping moving forward. On the launch plan, we will have 3 launches of 2 satellites each. That's something we changed our guidance on last quarter, and it's a little different than the first 2 and 4 launches that we had planned. But to just kind of to reiterate 3 launches, 2 satellites each. We do expect [indiscernible] Yes, no change from the launch plan. And -- but to give us a little more confidence in the September launch date, we expect to have 3 satellites already. So if we had any anomaly show up in the testing range that we'd have another satellite ready to go. We do expect those to continue to be on 3-month center lines. So the first one is, let's call it, September, then 3 months after that and 3 months after that is still the pace we're on. And the program is marching along towards that path right now.
Seth Seifman: And then maybe just one follow-up in terms of the Earth Intelligence and kind of what's implied by the midpoint of the guidance is kind of a fairly significant step up in EBITDA. And so just thinking about the trajectory of that through the year and kind of where -- how should -- we should think about maybe where the exit rate is in Earth Intelligence this year? And what drives it up to what seems like it should be a fairly, very high level.
Daniel Jablonsky: Yes. Maybe, and I'll take a couple of parts of this, and then I'll turn it over to Biggs to talk a little bit about some of the modeling and details he's got. But a couple of things. We did see some push-out from Q1 deals into Q2. Not something that can't happen, but we've been maintaining very strong prognosis for those deals. So I do expect them to complete during Q2, and then throughout the rest of the year. We also see a pretty healthy demand across our 3D opportunities, and that's across the United States government, our International Defense and Intelligence customers as well as our commercial customers. So we're expecting 50% year-over-year growth in the 3D set of products. And probably just a little more color on that. We had some deals that we probably could have gotten done in Q1, but for the fact that we really wanted to hold pricing on those products and that product suite. And so we're patiently wanting to make sure that we get full value for what we think that technology offers. And so we're taking the long view of that instead of just trying to have some deals in. But look, a strong pipeline throughout the rest of the year. A number of things we're doing with the DAPs, and just doing the upgrades that are already in our bookings area and a number of other growth opportunities we see in front of the company. Biggs, do you want to talk any more about the modeling?
Biggs Porter: Yes. I'll put some numbers behind that. And I'll talk about a little bit on a total company basis. But clearly, the improvement between first quarter run rate and what we expect for the full year is driven by Earth Intelligence. If you look at the total lift that we have to get from just taking the first quarter times 4 to what the middle of our range is for the year that requires about $140 million of incremental EBITDA over the next 3 quarters relative to that first quarter run rate. So first thing is, obviously stock comp, we've already said, the mark-to-market phenomenon should go away as a result of those shares having settled at this point in time. And so that would contribute $16 million, not the biggest number on the page, but it's an easy one to point out first. But then on product in general, Earth Intelligence, we would expect $80 million to $110 million of contribution through increases over the next 3 quarters. And I think I mentioned in my comments, there was almost no 3D product revenue in the first quarter, and this is book-to-ship business significantly. But we do expect that to grow significantly. So -- and overall, product grew by $100 million in '21. So not getting $80 million to $110 million over the next 3 quarters in our mind is not only achievable, but very reasonable at this point in time. Then DAF upgrades, Legion and services growth, I would expect to contribute about $30 million. And then after that, the other sources and expense variations pretty much net out. So I would term those to be the big drivers for the company and for Earth Intelligence. There is upside on EOCL, which once again contributes to the overall range. But at this point in time, hopefully, we'll narrow that out with an award here sooner as opposed to later.
Operator: Your next question comes from the line of Ken Herbert of RBC Capital Markets.
Kenneth Herbert: Dan, I just wanted to first follow up there, maybe on your comments on the EOCL. And I can appreciate it's hard to speculate, but you called out maybe some delays with just obviously, the distraction and what's happening in Eastern Europe right now. Is there anything else you've heard from the customer you could potentially point to around sort of EOCL and the potential timing of that award?
Daniel Jablonsky: Well, we had expected it by this point, as I mentioned in my remarks. We're not aware of anything holding it up at this point. The budget has been passed. The fight for the next cycle is in, and all points strongly to adoption of commercial electro-optical technologies. So we think things are in line. We submitted our proposal late last year, and the customer had originally said they expected to give awards by March 29. They're not saying that anymore. But we're not aware of anything holding them up at this point. So I think we just continue to believe we're well positioned on that. Our current constellation is best-in-class. We've been making the investments in Legion. We've got a secure operations architecture, which is unique to us and a pretty strong track record of success. We have had some incremental plus up funding related to the Ukraine operations. So that's kind of offset a little bit of the delays we were seeing for some upside on EOCL. But if they continue to delay the EOCL awards, we'll remain under the existing contract out into the fall of next year even if necessary. So we're pretty good shape -- in pretty good shape on that front.
Operator: Your next question comes from the line of -- my apologies, comes from the line of Colin Canfield of Barclays.
Colin Canfield: Can you just talk a little bit more on kind of the aperture for growth beyond EOCL? You're talking about kind of the best environment you've seen in a while. And DoD commentary suggests that we could see further contract growth and consumption beyond NRO. So maybe you can update us on kind of what you size the pipeline of opportunities in for the defense and intel space? And then also talk about some of the trends that you're seeing within the commercial space and how that's trending?
Daniel Jablonsky: Yes. And I did say in my prepared remarks that this is the -- I've been in the industry just over 10 years now. This is the strongest environment I've seen for our Earth Intelligence type of capabilities ever. And I think a lot of that's been highlighted by the prominence of satellite imagery and data and solutions related to Ukraine and in particular Maxar's type of solutions. We're seeing really, really strong growth and adoption rates for 3D technology. And that's -- a lot of that's based on the satellite data we've collected and then process through to create those models. But when we and our customers start to talk about physics-based metaverses that are really accurate and worldwide solutions. There's only one place that you can go to get there right now, and that's Maxar. And so on the defense and intelligence side, we're continuing to see more and more adoption and more and more solutions, particularly tactical edge type stuff, uplinking and downlinking satellite data creating the 3D models and then running the analytics and solutions-based technology off of that. We're seeing really strong adoption of our AI and ML capabilities and other analytics. And that's across all of our defense customers, both at the U.S. government and the International Defense and Intelligence realm and in the commercial set of customers. So we're trying to make sure we strike the right deals with the right licensing terms at the right price points for those. But I'd say really strong adoption rates, really strong pipeline ahead of us there. And that's not even taking into account yet the pent-up demand we see for the Legion class assets that we'll be hopefully getting on orbit very soon here as well, and then the strong pipeline we see for that.
Colin Canfield: Got it. And then if we think about kind of the cash flow step-up opportunity of business. Can you just talk a little bit about the trends that you're expecting or some of the trends that you're expecting split between WorldView Legion actually your LEO investments and then kind of longer term, how you think about cost out of the Earth Intelligence business as where Legion comes to completion?
Daniel Jablonsky: Yes. Biggs will probably give some more color commentary after I finish up here. But the first big one is we will complete the Legion constellation and we'll move from a cash expenditure, capital expenditure type model to a revenue opportunity and growth model on those assets. So that's the first and easiest. But we are continuing to grow and have been growing our 3D suite of products. have made some good progress on the investments we've been making. And I think pipeline support on the space side of the business as well. And so I think that we've got some wise investments there. And as we continue to invest on both sides of the business, we're trying to pick those higher growth, higher return areas where we'll deliver hopefully attractive returns for our investors there. But -- and to date, we've been making some smart ones, seeing strong customer adoption, particularly as just the Ukraine situation brings to light really quickly, I thank, for a lot of our customers there.
Biggs Porter: Yes. I think, if I got your question right, as we look at the future weeks, obviously, making investments today on WorldView Legion that Dan points out, we're also making investments in product, investments in the Space Infrastructure business as well. But as we go forward into the future, whether you're looking at it from an expense standpoint or a capital standpoint, we would expect all those to be self-funding. If we -- based upon the current plans that we have for the constellation, including the replacement of WorldView-3 with Legion 7 and 8, when we start to have to spend on that more meaningfully at the end of '24 or '25. From an incremental cost of operating standpoint, it's pretty modest as we expand the constellation because largely, the cost is -- fixed cost associated with the satellites and operating costs aren't that variable based upon the number of satellites we're operating. So we should expect to see some growth in margins, and I'm not going to put a particular target out there over time as we execute our strategy with a very high-margin inventory and product business and success on the Space Infrastructure side.
Operator: Your next question comes from the line of Peter Arment of Baird.
Peter Arment: Biggs, on the Space Infrastructure side, it's just more about just kind of the cadence, you're off to a good start on adjusted EBITDA to start the year. How we should be kind of thinking about that because you're tracking pretty well towards the upper end of your guidance already? And just wondering some of the moving parts on that?
Biggs Porter: Yes. I apologize, if you're asking about the margins and the trend from here on Space Infrastructure. We are running a little bit higher in the first quarter than what we have guided to for the full year. We would expect to continue to have the R&D kind of investments over the remainder of the year. But we do expect revenue and mix to change as we go a little bit through the year. I think we said it was more front-end related. And the reason for the mix change is largely just because we have some very profitable programs. The revenue has been higher on sort of over the last few quarters, including the first quarter that will drop off some in the second half. Having said that, we really like the opportunities that we have in front of us to get some new awards and that are going to add potentially a significant base to the business and put it in a good position going forward as we exit this year.
Peter Arment: And just related to that. Dan, maybe you did talk about, it's sort of some of the better environment that you've been in the last decade or so. Just related to kind of bookings around the Space Infrastructure side, how should we think about that just because there's so many moving parts with the legal market and considering some of the smaller opportunities, but maybe that they're out.
Daniel Jablonsky: Yes. I think -- we got to go win those awards still and we got to close out the year strong to do what Biggs just foreshadow there. But I really think we've picked the right strategy with regard to the Space Infrastructure business. We've been diversifying both in terms of product sets as well as our customer marketing type opportunities. So we're very pleased and very proud to continue to support GEO-type infrastructure on the commercial side. That's been the base of the business. And we've had long strong relationships there and have continued to do well. And so customers like SiriusXM, EchoStar, Intelsat and others, we like that business. We continue to do well at. And I think we've got good product offerings. But we have been making a very good strong push into the civil side, NASA type business, and that's been a very strong performer for us and we're getting good marks from the customers there. And on the Defense and Intel side, we always said that was a longer-term cycle of opportunities, but we're seeing really good traction and sometimes that will be as a sub-toe to one of the large majors, sometimes it will be priming those, but on a continual trend of winning types of study awards and providing technologies and I think efficient price points for the customers on a commercial basis that they're excited about. So we do expect to see wins starting to flow through on that side of the business. And then on product diversification, we've moved a long way from -- and the 1,300-bus was never just a straight 1,300-bus. It supports everything from something like the Psyche mission, which I discussed on the call, to something of the size of the Jupiter 3 satellite, which is 9,300 plus kilograms wet. So very, very large infrastructure, which is also being used for the Artemis missions, for the PPE. But then on the other side of the investments we've made in the Legion and the Legion type Chassis, the PLEO type of infrastructure that we've been designing, I think, are really starting to show signs of bearing some fruit. So I do look forward. Hopefully, in the very near future, discussing what some of those awards and wins look like with you all.
Operator: Your next question comes from the line of Noah Poponak of Goldman Sachs.
Noah Poponak: Biggs, is there any change to the 2023 targets that you have out there?
Biggs Porter: We're going to continue our practice of not literally updating on a quarterly basis. But I will, I guess, give a few comments. The 2-month slide on Legion, although, of course, it's not helpful, it is limited in its impact. We'd already lowered Legion's contribution or the expectations for the contribution from Legion in '23 when we updated guidance last quarter. There are a lot of moving parts and other drivers that we'll assess as we update our long-term plans later in the year. Having said that, we aren't firming quarterly, but I certainly don't see or know enough to change it today.
Noah Poponak: It sounds like some moving pieces under the surface, but the aggregate EBITDA and cash flow not changing, sort of similar to what's happening in '22.
Biggs Porter: Yes. So I'd just say I don't know enough to change it today is about as far as I can go. But obviously I'm trying to help you understand the comments I made.
Noah Poponak: Do these higher eliminations numbers stay at this new level kind of a run rate going forward?
Biggs Porter: No. When you get to '23, there should be a drop off to very little, because Legion program will be complete.
Noah Poponak: Okay. Great. And then, Dan, Planet press released some of the specifics on the Pelican specs, some of which were maybe a little surprising in terms of resolution, revisit latency. I wonder if you could comment on that and what you thought of -- what they had to say and what it means for the competitive landscape?
Daniel Jablonsky: Noah, I guess probably just at the outset, I'd focus in on what Maxar is doing, which I think has been best-in-class widely adopted by customers generating a very large sustainable and growing business. And so the architectural decisions we've made are the ones I'm very excited about, very proud of and very in tune with and Legion is going to be a big part of that going forward. There are lots of companies out there with lots of announced constellation plans. Planet is one of them with the Pelican, of course. Blacksky has been shifting theirs as well, Satellogic. There's Airbus probably a very long list of entities and companies we can point to that have announced very constellation plans. We're cognizant of them, and we take them into how we forecast and how we plan our business here at Maxar. So I don't want to discount any of that. But I'd say look, I think what it points to is, that it's a growing and dynamic market, and a growing and dynamic market should attract new entrants. The U.S. government has indicated and has been budgeting and we'll be spending more. Commercial adoption continues to pace, particularly for the types of 3D solutions and physical-based metaverses that Maxar is able to contribute to. And that's dual use technology. That's the same type of technology that will be used in the Army's One World Terrain simulation and training programs. And so like, we're really excited about the industry. We see it as a fast-growing one. It should attract entrance and they'll do some things in our wake, and they'll try and do something different from us to gain competitive advantage. But we're feeling pretty good about where we are in that ecosystem right now.
Operator: Your next question comes from the line of Robert Spingarn of Melius Research.
Robert Spingarn: Dan, in terms of Legion, I think you said that #3 is just about assembled. But do you have all the hardware for 3? And then what's the hardware status for 4, 5 and 6?
Daniel Jablonsky: Yes. So actually, 3 is fully assembled and it started its environmental as well. So we've got 3 satellites fully integrated, assembled, being tested and going through environmentals. Initial performance reference testing has been looking good on all 3. So we're on a path to have right now 3 satellites ready for that September launch time frame. And so that's looking pretty good. On the remaining satellites, they're all in production. They're all marching their way through the system. We're waiting for the fourth instrument to deliver. So that will be the key component of hardware that we need to support the second launch. We do expect that this month. I think on last quarter's call, we expected in April, that didn't quite happen. We had some additional testing and performance reviews we wanted to do before we signed off on taking that. We do expect it to deliver from Raytheon this month. And then the hardware for the remaining 2 satellites is on track and should be well within bounds to support the third launch.
Robert Spingarn: And are you comfortable with what would be about 4 months for environmentals?
Daniel Jablonsky: Yes. It doesn't actually take quite that long for environmentals. The first ones that go through, you do a bit more rigorous testing, I think because you want to make sure you -- for example, on a thermal vacuum we want to make sure we improve the thermal design of the satellite, not just the componentry of what's going through on a hardware basis. And the first time through, you've got a little bit of the growing pains of setting up different majors and testing protocols and connections for our first of its kind space program. By the time we get to the fifth and sixth, our teams should be very in tune with the assembly, testing and protocol environment. So we know that things can't come up during the testing phases, but we would expect less of the -- we didn't know it's going to go quite that way first-time type events, even with all the rigorous engineering, we do about stuff. When you come into the actual world environment and actually start running stuff up and down, you do notice a little bit more than you do in the -- all the -- even the best of digital designs and criteria that you put on them. So -- yes, I guess kind of just to recap though. We've got 3 of the 6 spacecraft humming along there in environmentals. We've got -- and they're being tested. We've got the fourth instrument due in May, and then the hardware should support the remaining launches on the 3-month centerline that I talked about.
Robert Spingarn: And then just on 7 and 8, are these ago? Are these -- have you committed to these because of the pull forward or that decision still not made? And then going back to what Biggs and Noah were discussing, I imagine if you are working on those, that could change the CapEx profile for either this year and certainly next year. So might there be higher CapEx in your guide mix?
Daniel Jablonsky: Yes. Just to kind of clarify there. What we said was we've procured -- we're in the process of getting the long lead time parts on 7 and 8. So as Rob, as you know, any satellite program, there are certain things that take longer than others and become critical path. We made commitments to get those long lead time parts into the system, so that we can shorten the time line from initial hit the go signal to the vendor base to time that's a satellites might be on orbit and be able to shrink that down. We had already factored that into the guidance we gave both for '22 and '23. So that's not really changed to what we're looking at there. And I'll let Biggs comment a little more on a second there. But we do have some -- we can manage the workforce to some extent, the vendor base to some extent, depending on how many Legions we eventually decide to build and when we do it. But the demand signals we're getting right now are very strong, which support us potentially moving fast with 7, 8. And then just from an efficiency standpoint, eventually WorldView-3 will got [indiscernible] up there a very, very long time and exceeds its lifetime like many of our satellites have done, but we'll want to contemplate doing that, and we want to do it in the most efficient and thoughtful way possible.
Robert Spingarn: Right. So based upon -- as we see it today, we're doing the long lead, which, of course, gives us the option of moving faster for some reason we wanted to. But that long lead spending would be done this year. There would be no impact in '23 on Legion 7 and 8 relative to what we've put out there as guidance and expectations. We wouldn't need to start spending to replace WorldView-3 until the latter part of 2024. So that's when CapEx might uptick and then you'd have spending over the next few years. The -- but we also said that free cash flow, we didn't expect to go down, even if we're spending on 7 or 8 down in that time period. We could expect growth otherwise in earnings and in operating cash flow or that time period. So the one thing is just certainly a little different in the guidance this time around versus what we gave in the fourth-quarter, the fourth-quarter call, we said we were going to spend on the long lead on 7 and 8, and it was included in our CapEx expectations for the year. We've made that historically -- and most of this is instrument-related. Historically, the instrument activity was not a part of space infrastructure. It was managed, let's say, out of corporate or out Earth Intelligence, but as a part of us consolidating all the program management activity under space infrastructure in this quarter, we assigned that activity's base infrastructure. Once again, it's all eliminated, so it doesn't have an impact on the bottom line. And that's why it doesn't change our guidance for CapEx. That doesn't change our guidance for consolidated revenue or earnings. It's just a true-up to how we want to account for the program over the long term. I see... I see. Thank you both for all the help.
Operator: Your next question comes from the line of Thanos Musco Paulos of BMO Capital Markets.
Thanos Moschopoulos: Sorry about that. Dan, just as a follow-up on Legion 7 and 8, what would be the earliest that those could be launched if you get the right demand signals that would just by that?
Daniel Jablonsky: Well, they'll still be complicated programs. So there's the big pieces of these other than the long lead time parts are the instruments and we'd have to [indiscernible] contract on those quickly. The rest -- there's a lot of the rest of the stuff that can be done in the supply chain that we might have more control over. But you're probably talking about 30 to 33 months from the previous go signal. So we've been working on the long lead time parts. We brought down some of that risk already. But the satellite programs are generally around that 30 to 33 month point, all things being nominal.
Thanos Moschopoulos: Okay. And then just going back to the delayed deals and pushouts in the UI segment this quarter. Just to clarify, was that predominantly the precision 3D business as you alluded to? Or were there other factors to call out in terms of the [indiscernible]?
Daniel Jablonsky: That's the big one. And a lot of those orders have already been booked and we just didn't -- the shipment or the PO didn't come through on the larger deals. So that's part of it, but there also is a very strong pipeline of deals there. There are some other data type deals, too. As you know, we've got beyond the Precision 3D products, we've got a range of different base maps like plus [indiscernible] and other things that are pretty strong and in pipeline as well. We've also -- we've got DAP upgrades that we've been doing and some of those kind of sliding around exactly when you can get out to the facility internationally to get those upgrades done, that would have contributed some revenue in this quarter, but we know it will be contributing revenue next quarter as well.
Thanos Moschopoulos: Okay, great. Thanks... Congrats on the great work you're doing.
Operator: Thank you. Your next question comes from the line of Chris Quilty of Quilty Analytics LLC. 
Chris Quilty : I'll try to go quick since I know we're pushing the time here. Biggs, I think you mentioned in the script a trailing 12-month book-to-bill of about 1.0. Can you tell us what it was in the quarter, maybe a breakdown by segment? And how do you expect the book-to-bill to shape up through the course of the year? Is Q2 going to be a massive quarter and then it sort of levels out through the balance of the year. Any sense on the orders?
Biggs Porter: So yes, we do think it's important to look at it on a 12-month basis because, among other things, -- there's the big [indiscernible] award that comes in the third quarter of the year, and then it burns off in the other quarters on Earth Intelligence. So if you look at it on a trailing 12-month basis, Earth Intelligence was a 1.0 book-to-bill, space infrastructure 0.7% and overall 0.9%. For the quarter alone, it's quite a bit lower. Like I said, I don't think it's all that meaningful. It's a 0.4 for intelligence, a 0.2 for space infrastructure.  And but keeping in mind that an earth intelligence, once again, there's the bleed-off of the third quarter, big award on the EPFO contract and also a fair amount of the business is now book-to-bill, and our space infrastructure of the business is just lumpy in terms of awards coming in, and so one quarter really doesn't add that much meaning. And as we look at it in terms of the pipeline, -- and I know both Dan and I said it, I think it looks very strong for both businesses as good as it has.  So we would expect then in the remainder of the year that on space infrastructure, they end up at 1.0 or better and that earth intelligence, likewise, that it will be very strong. The one thing I will point out that maybe you have to dig further numbers on is in Earth Intelligence that even though the -- if you will, firm bookings produced that 0.4 number for the quarter, our unexercised options grew by $113 million in the quarter, and that is work -- that's not IDIQ work. That's work that we expect to be executed over the near term. So once again, we're comfortable given the backlog we see -- we think we look at this sort of 12-month basis. We've always done it that way. That's been most meaningful.
Chris Quilty: Great. And I mean, one of the areas at least on the space infrastructure that you had shown very good strength, I think back in '19, Civil was like 40% of the revenue mix. You've executed on those programs. But as we saw with the picture, psyche is rolling off into a plane to go away. What does the pipeline look like on the civil program? And do you still expect a longer-term mix to be about 1/3 between commercial, civil, and government? And was that 2 years out or 5 years out?
Biggs Porter: Well, I think, yes, it's closer to that 2% to 5%, I would say, depending on what comes in and when it comes in. But I think the -- well, nominally, we'd like to be, just call it 1/3, 1/3, and 1/3, there will be quite a bit of variability in that and when they roll in. For example, the C-band awards pretty dramatically skewed things towards the commercial side of our business, having something like a very large artemis award drop in one quarter skews pretty hard to something like the civil side of the business and then nascent, but we do want to get up and running. We do see very strong market signals from the Department of Defense and the Intelligence Community on national infrastructure assets. So quarter-to-quarter, sometimes even 12 months to 12 months, it will be a hard comparison. But over time, I think the strength of the business will be and the resiliency of it will be in the growth in all three of those areas, as we see it modeling forward. In terms of the civil programs, I think that that's one of the hardest to predict. Chris, as you know, the NASA, we're already bidding on stuff with putting the paperwork in on stuff that might be 2028 or 2029 type programs and probably a little more variability in how their budgets run back and forth compared to the commercial and the defense and intel side.
Chris Quilty: Got you. Does that mean you can give us a 2028 forecast?
Daniel Jablonsky: We do run all kinds of modeling here because we make long-term decisions, but Biggs will probably kick me pretty hard on the tip if we went that far.
Chris Quilty: That's right. We'll stick with '23. So you mentioned there has been international work. One thing I was maybe, I don't know, surprised by -- in the current quarter, you would have picked up some kind of impact from Ukraine and incremental demand? And can you talk about could we or should we expect to see incremental revenues associated with Ukraine? Or does most of it as with your U.S. government contracts covered by current fixed-price contracts?
Daniel Jablonsky: I think what I'd say is that some of these are fixed price and some over the longer term. We did have some small uplift, and you probably heard some of the U.S. government customers talk about the fact that they were spending more in that region -- and some of that went to us. But we're fairly capacity-constrained as well. So we had to do some shifting to support the U.S. government mission, which is long term, the right thing to do and also for the current situation in the world, but it has impacts on other things that we do. I think the two uplifts you'll see going forward, because of the capacity is constrained environment we've been in, is that the Legions should snap into a higher demand signal quicker probably than even we were forecasting a year or two ago with the predominance of that type of information as we go through ILC on them. And then the second is the noncapacity-constrained type products that we're building. We're seeing really strong demand signals, for example, uplinking and downlinking and tasking in theater, which we hadn't seen from the U.S. government before. So we'll -- we think that's another growth vector for us. Sensor to decision-making work and 3D modeling and training and simulation and possibly even how that factors into hardware and software systems for defense and intelligence going forward. Can be really, really strong growth vectors for us. So Ukraine, not a real big impact to the year right now, but the types of products that are getting a lot of show, very strong demand growth, some through in the year and then throughout the longer-term cycle as well.
Biggs Porter: Yes, I'd just say -- so there is some uplift from it. We haven't quantified it. And it's in the mix of things that I said there are pluses and minuses that sort of net out when I walk through [Technical Difficulty] the big drivers of Earth Intelligence for the full year. So it's there, but the other elements I've talked about are just bigger.
Chris Quilty: Got you. And final question, Dan, you had mentioned subcontracted awards per chance anything you can announce with regard to SDA tranche 1.
Daniel Jablonsky: If I had something to announce, I would have already done it.
Chris Quilty: Okay. Very good. And you are presumably still continuing to team on different opportunities there for the ongoing spirals? Both on the defense and intel side as well as on the commercial side, we do see a decent strong pipeline of PLO type opportunities. And the teaming arrangements are positive right now.
Operator: Your next question comes from the line of Sam Stusiger [ph] of Truist Securities.
Michael Ciarmoli: Thanks for sneaking me here on behalf of Mike Ciarmoli. So I was just curious, do you guys think -- because any thought about the possibility that perhaps the delay in the OCL announcement may be related to the government kind of considering delays in the -- in your guys' Legion launch time line? Or I guess, how are you guys kind of thinking about how that might be interacting with each other.
Daniel Jablonsky: We really haven't thought of them as tied together. We think they've got sort of what they need to continue moving forward. Obviously, we had planned and would otherwise all things considered rather have leads and up right now, being able to serve that more quickly. But it's on the time line, it's on, and we don't have anything to cause us to make that assessment.
Michael Ciarmoli: Okay. Great. And then kind of building off the question right before me. In terms of just the heightened demand around the whole Ukraine situation, have you guys seen any kind of shift in, I guess, demand from kind of a broader international audience kind of also relating to how Native seems to be ramping up their defense spend overall. Do you guys kind of seen an increase in your international market as a result of this?
Daniel Jablonsky: Yes. I think there's a long-term positive upward trend there for us. We've disclosed in the past that we've got over a dozen direct access facility customers that are international governments that use us, and we've got very strong adoption of our Rapid Access program as well, which is a somewhat different version of what a direct access facility is. It's kind of the same thing without the hardware. We handle a lot of that through software and tasking and availability. Things like SecureWatch and our base maps have been very strong as well as the 3D adoption. Look, if budgets go up in a lot of countries are now committing to at least the 2% number, both in NATO as well as Southeast Asia and some other locations like that, we see that as a very strong positive trend for the defense and intelligence work that we've historically done a very good job of capturing across the world with U.S. allies and relationships across
Operator: And your next question comes from the line of Austin Moeller of Canaccord Genuity.
Austin Moeller: Good afternoon Dan and Biggs. Just my first question here, if we think about the timeline for Legion. So based on what you've laid out with the 3-month center lines, we should have the first launch in September than the second launch in December and then probably the third one in March of next year, correct?
Daniel Jablonsky: [indiscernible] calendar 3-month center lines. It won't be to the date, but -- that's generally about a reasonable time frame there.
Austin Moeller: Okay. And then as far as the on-orbit testing goes, is it still appropriate to assume on average about 60 days upon orbit testing per satellite before they can take on customer capacity?
Daniel Jablonsky: That's generally what we're planning. I think we've said 60 to 90 days with some of the delays on the hardware side and through the testing environment, it's not like our teams that are planning to do the commissioning of sitting around. So they're looking at ways to enhance the availability and the revenue-generating capacity that those bring on, but until we go through the shakeout crews as it were in the on-orbit testing kind of not really backing off those dates yet. But we're positive that we'll go through that type of environmental configuration. And it's more than just kind of testing up the satellite. We run very -- a lot of data through the systems and a lot of availability and how they operate in our environment, how they operate and direct access to low environment, how the data moves through and gets calibrated because our customers expect a very, very high standard when we commission that satellite as they've come to expect from our constellation. So it's not just a couple of happy steps, but it's a real space-based defense and intelligence asset.
Austin Moeller: Okay. That's helpful. And then just a question about the Planet Pelican constellation. So I thought it was interesting they had the 30-centimeter resolution in there. How do you think they're achieving that? Do you think that they really have a large primary mirror with a wide aperture to get that kind of resolution? Or do you think that the satellites are may be able to transit in and out of very low earth orbit to get a closer vantage point?
Daniel Jablonsky: I kind of no comment on that. There's a lot of different ways that these types of things can be done. We've got some of the brightest engineers and scientists on the planet working inside Maxar, and we certainly looked at lots of different things that we can do and others can do with regard to that. And I think the thing I'd say is at this point, nobody has really changed the curve on physics yet. So orbitology, the amount of photons you get from the surface, the resolution, the aperture size, the types of stability you need to do different things like this are still well within the realm of known science. But we -- I think we've been doing a pretty good job of creating the value there for our customers along the way.
Austin Moeller: Okay. Great.
Daniel Jablonsky: Great and operator, I think we've exhausted our questions. So I appreciate everybody dialing into the call today. And we certainly look forward to getting with you all again when we report out in late July or early August, our second-quarter earnings calls and for those that we'll be seeing along the way here. I look forward to seeing some people face-to-face. Operator, I think we'll hand it back to you to wrap up. Thank you.
Operator: This concludes today's conference call. You may now disconnect your lines.